Operator: Welcome to LivePerson's Third Quarter 2019 Earnings Conference Call. My name is Katherine, and I'll be your conference operator today. At this time, all participants are in a listen only mode. After the prepared remarks, the management from Liveperson will conduct a question-and-answer session, and conference participants will be given instructions at that time. As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Matthew Kempler, the Company's Senior Vice President of Investor Relations and Planning. Please go ahead, sir.
Matthew Kempler: Thanks very much, Katherine. This is Matthew Kempler, SVP of Planning and Investor Relations. Joining me on the call today is Rob LoCascio, LivePerson's Founder and CEO and Chris Greiner, our Chief Financial Officer. Please note that during today's call we will make forward-looking statements, which are predictions, projections, and other statements about future results. These statements are based on our current expectations and assumptions as of today and are subject to risks and uncertainties. Actual results may differ materially due to various factors, including those described in today's earnings press release, in the comments made during this conference call, and in 10-Ks, 10-Qs, and other reports we file from time to time with the SEC. We assume no obligation to update any forward-looking statements. Also, during this call we will discuss certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures is included in today's earnings press release. Both this press release and supplemental slides, which include highlights for the quarter, are available in the Investor Relations section of LivePerson's website. With that, I will turn the call over to Rob.
Robert LoCascio: Thanks, Matt. And thank you for joining LivePerson's third Quarter 2019 conference call. This is another milestone for the company as we deliver our second consecutive quarter of revenue growth acceleration. Revenue increased 17% year-over-year in the third quarter, up from 15% growth in the second quarter, and 14% growth in the first quarter. We expect this trend to continue as reflected in our guidance for acceleration to 17% to 22% growth in the fourth quarter, at least 20% growth in 2020. We're really excited to have this goal of 20% growth now within our sites. LivePerson's third quarter activity metrics also reflect the positive growth inflection. LivePerson Signs 7, seven-figure deals in the quarter, more than double than a year ago. The number of deals signed increased nearly 50% year-over-year. The value of contracts signed also continues to grow at a significantly faster pace than our overall revenue, which is a great leading indicator of future acceleration, half of our enterprise customers have now begun the transformation of messaging from Chat, up from 35% a year ago, and more than 50% of those messaging conversations rely on automation. We've always stated that AI was a key to scaling conversational commerce and we are now seeing its adoption drive platform usage. In fact, ARPUs for messaging brands with AI is nearly double that of customers without AI. These trends reflect exactly how we expected the quarter to play out. Demand for conversational commerce is inflecting, because consumers are seeking a better alternative to wasting time on hold with 800 numbers are searching around websites to get answers to the questions they have about the products and services they are interested in purchasing. Brands are equally frustrated with inefficiency and poor outcomes of legacy, voice and web channels. As a result, they are increasingly turning to LivePerson and our LiveEngage conversational commerce platform to build convenient, personalized and lasting relationships with consumers where people connect by natural language using text messaging and also voice commands. Let me share a few highlights from the third quarter of brands that are making the shift. The first is a new mid seven-figure contract with one of the top five cable companies in North America. LivePerson become a turnkey partner for this leading brand helping to transform their entire customer care experience by transitioning expensive transactional voice calls and legacy chats to messaging. The customer plans to drive powerful scale and efficiency by deploying LiveEngage seamlessly integrated with automations fueled by our Maven AI and conversational bot builder platforms. We also signed a seven-figure annual expansion with the Global Fortune 100 financial institution. Their goal is to become the world's leading conversational bank and they have set a target to ship 50% of contact center calls within the next four years. To achieve this call, they are working with LivePerson expand in app messaging into new markets, migrate to web messaging from chat, launch WhatsApp and deploy more bots developed with conversational builder. This is a four-year contract term, a strong validation of our strategic alignment. Other key wins include a new contract, one of the five largest airlines in the world. This marks the third major airline signed in the past year, a clear indication of our emerging leadership in travel. LivePerson was also selected by a leading global furniture brand with more than 800 retail locations across the Americas. This multi-billion dollar retailer plans to leverage messaging and bots across multiple channels to drive an exceptional customer experience and transform how people shop for furniture, have it delivered, and seek help. One thing that should be evident from these wins is the payback we're seeing on our product and go-to-market investments. We are successfully taking on the difficult challenge of creating the underlying technology platform and services stack that powers conversational commerce. This new category is solving the complex problems of brand to consumer communications that the 1,800 number e-commerce and branded apps have failed to address. I believe that the best technology companies today like Apple and Amazon have tended to build versus buy. And although it takes a lot more discipline and a real level of engineering talent to deliver on building, in the end, the advantage is always outweigh the risks of technology and people integration. Also the valuations of most private companies today seem inflated tipping the cost of value equation even further toward building versus buying. Although, both building and buying require capital with building it flows through our operations as you know we raised over $200 million in Q1 to focus on these types of investments. Under the leadership of our CTO, Alex Spinelli, we have built what we consider the leading AI-powered conversational commerce platform in the world. We have been able to recruit some of the industry's brightest data scientists, machine learning engineers and automation experts to scale the platform to reach our big vision. Likewise, we've built an incredible team of technical delivery experts who are pioneers in deployment of these solutions helping our customers of conversational design, bot tuning and implementation in API integration. Our Golden mode though is our conversational data that only we have at such scale. If you want to truly create a massive conversational commerce business you need the hundreds of millions of conversations we have today to create the AI to automate those conversations at scale. This unique asset enables us to achieve creating what we call customers as first. We launched the first Apple Business Chat deployments in the world. The first agent facing bots, the first conversational airlines, the first mobile messaging food ordering experiences and many other AI-powered conversational commerce first. These first enable us to call ourselves the leader in this space and we will continue to invest in our customers to further increase our momentum. With that said, let's also look to be as efficient as we can in our delivery and overall operations, in order to take all of this creativity and innovation and planted on a strong operational and financial foundation. We have a long history and being operationally strong and I believe over time will be able to achieve both high growth and strong operating margins and this will ultimately make us the winner of the conversational commerce space. With the products we are now bringing a market, I've never been more confident in this possibility. These new solutions will significantly increase our platforms reach into more conversations and enhance the consumers ability to discover messaging. Let me elaborate on some products that we had released in the last few months. First, we released a product called Social Connect, and behind that eMail Connect, and then proactive campaigns for messaging, and customers are already started to use these new products. A leading European telecommunications company and an online travel agency are actively monitoring Twitter and Facebook feeds now on LiveEngage and empowering agents to publicly or directly message consumers when they have questions or complaints. Likewise, our customers can now in just customer care emails directly into LiveEngage and automatic reply dynamically that moves that conversation from an inefficient email to a messaging conversation. So we can literally move those conversations from an old technology to what consumers want to use. And with proactive messaging, we now have a healthcare insurer and education network actively managing marketing campaigns over messaging. And other customers are transforming traditional one way messaging notifications for use cases such as flight delays, fraud notifications and flash sales into two way conversations that drive better outcomes. So this is really helping us extend all the places we can reach in the world where conversations are happening, whether it's on social, email, we're now bringing in ingesting all that on to a single platform. Now I want to also highlight a really important announcement by Apple, which is called Chat Suggest, which is currently rolling out globally on all IOS devices. The Chat Suggest brands can choose to offer consumers now, a messaging option and redirect them to Apple Business Chat right from the device, when they go to make a phone call. So imagine that you got to dial a phone number, and now so just making the call, it offers you would you like to message this brand. And we're already have more than 30 brands live on Chat Suggest across the globe and we estimate that LivePerson launch four times more brands than any other providers or partners with Apple. And moreover, the early data is very encouraging as we are seeing customers with Chat Suggest double their Apple Business Chat volumes within the first several weeks of launch. This is a powerful statement for how messaging discoverability can now drive much higher volumes. In closing, I want to reiterate two key themes; the first centers on our vision for how conversational commerce profoundly change the way leading brands deliver care, sales and marketing experiences to consumers. The impressive breadth of use cases that our customers signed up for in the third quarter and the new solutions we are launching highlights how rapidly this vision is becoming a reality. In turn, we are exposing our platform to millions of conversations that we previously couldn't reach like on social and email and we're driving increase awareness of messaging with consumers around the world. Second theme is around our position of industry leadership. We've long-held that LivePerson has established at least 12-month to 18-month competitive lead center around a unique vision platform and value proposition. With the recent product introductions and our advancements in AI-powered conversation, we continue to maintain our unique competitive position. And with that, I will now turn the call over to Chris, who will do a deeper dive on our financial outlook. Chris?
Chris Greiner: Thanks, Rob. We accelerated revenue growth for the second consecutive quarter highlighting another period of strong execution. The back of this momentum, we're increasing our revenue guidance and adjusting our profit forecast to account for increased investments tied to a market inflection toward conversational commerce and associated sales pipeline demand. Before we dive into those details, I'll first discuss a number of third quarter highlights. On a year-over-year basis, revenue increased 17% in the third quarter, up from 15% in the second quarter and 14% in the first quarter. On a sequential basis, similar to last quarter, we grew 6% from 2Q to 3Q, demonstrating strong layering of recurring revenue driven by our second strongest contract signings quarter ever, topped only by the second quarter of 2019. Deal volume once again rose considerably with total deal counts growing 47% year-to-year, fueled by 33% growth in new customers and 64% growth from existing customers. Our wins are also getting larger. The average signings value increased 38% year-over-year, reflecting our depth and AI capabilities and the breadth of use cases customers are adopting. These catalysts are also reflected in our enterprise and mid-market ARPU, which continued its trend of greater than 20% growth and hit a record $330,000. Revenue retention for that business also remains strong, and within our target range of 105% to 115%. From a geographic revenue perspective, the U.S. continue to accelerate and fuel growth, up 19% year-over-year with our international business, up 14%. As we've stated on past calls, the US is the region where we first invested in go-to-market and therefore ahead in this scaling. 2019, we began duplicating that blueprint in EMEA and APAC and anticipate a similar payback in 2020 in those markets. Looking at our industry verticals, financial services, telecommunications and technology led the way, each climbing more than 30% year-to-year. Drilling down into our go-to-market, partnerships influence more than 40% of contracts in the third quarter, an encouraging signal that the investments we discussed at our Investor Day in May are beginning to bear fruit. In fact, we formalized several new partnerships in the third quarter, including one with TTEC, a leading digital customer experience technology and services company and another with DMI, a leading digital transformation company. And lastly our sales pipeline continues to hit new records, supporting our outlook for continued acceleration based upon the investments we've made in expanding our sales force. In the setting of our pipeline, you'll recall that we highlighted at our Investor Day, or investment in sales capacity is a vehicle to capitalize on rising demand. I'm pleased to report that we continue to execute well in this important front. We ended the third quarter with approximately 95 quota carriers, up from 89 at the end of the second quarter and up from 50 at the end of 2018, putting us tightly within the range of our expected hiring goal of 100 total quota carriers by year-end. In terms of the break down, approximately 60% of our quota carriers are in enterprise and the remainder in mid-market and small business. You recall our productivity metrics show, it takes 12 months for our enterprise reps to reach productivity, meaning, we'll have the full complement of our sales force beginning to contribute in 2020, a key element of our confidence in a continued rate of top line acceleration next year. In contrast mid-market and small business quota carriers typically ramp to productivity in six months to nine months. As a result, roughly two-thirds of these reps are now approaching maturity. We plan for this and entered the year guiding that mid-market and small business revenue would return to growth. And now we're delivering on that commitment. As we wrap up our highlights of third quarter revenue, I'd like to call out our Consumer segment, which generated 37% growth in the third quarter and delivered its fifth consecutive quarter of acceleration. This achievement is due to our growing expertise in acquiring customers digitally and exemplifies consumer adoption of messaging for conversational commerce. Ultimately, we expect the insights from this experience to inform any future consumer offerings. We continue to see ourselves in a rapidly evolving and favorable demand environment, compelling us to operate with more agility, while maintaining strong cost controls. Toward that end, during the quarter, we capitalized on the continuing favorable demand environment and consciously decided to increase investment in marketing, technical delivery expertise and customer success, each guided by strong ROI visibility. I'll briefly touch upon each. Our experience over the past two years clearly demonstrates that our enterprise marketing summit create a differentiated and immersive customer experience. We pointed to greater than 40% contract win rates from these summits, because they connect customers to a trusted community of references and provide a clear road map to a conversational commerce transformation. In the third quarter, our summits delivered once again and stronger than anticipated customer interest contributed to approximately $2 million of investment above our initial expectations. In Q3, we conducted over 20 events globally, twice as many as last year. Three of which were major events held in San Francisco, London and Singapore. Notable highlights included a co-hosted event with a consumer messaging partner tied to the launch of Apple Chat Suggest. This event was highly successful, leading to LivePerson launching out of the gate with an estimated 4 time more brands than any peer. We attracted over 100 C-suite executives to our first event in Singapore. We recently established an ASEAN regional sales hub in Singapore, and this event was key to building initial momentum in the region. Our event in London focused on conversational marketing, which we've highlighted is a growing proportion of our sales pipeline. From a 3Q event outcomes perspective, we created an influence nearly $12 million of pipeline, released $3 million of order forms and signed two customers in Q3 tied to customer events. Due to rapid growth in contract activity, strong AI adoption and a host of new developed products coming to market, we're experiencing increased demand for our expertise and conversational design and bot tuning, endpoint deployment and customizations of APIs and Function as a Service. This expertise is a key differentiator for LivePerson, enabling smoother implementations and a faster customer return on investment, that in turn, increases platform usage. In the third quarter, we spent an incremental $2 million to build out these delivery teams. This strategy also mirrors a key finding from this year's enterprise net promoter score survey, which was up 38% year-to-year, following our response to feedback in this area. Ultimately though, our goal is to transform the labor component of these delivery services into productized software. The final area of incremental investment focused on accelerating mid-market and small business growth. As I shared earlier, reinvesting in our mid-market and small business go to market engine has proven successful. On the back of increased quota carriers in small business in mid-market revenue is now back to growth, fueled by a 50% increase in year-to-date contract signings. And now we see an opportunity to compound that success with even higher revenue retention rates. To do so, we decided to place customer management and renewals in our own hands versus our historical reliance on third parties. As a result, during 3Q, we built up internal teams that ran concurrently with third parties, in order to minimize customer disruption during the transition. This increased our expenses in the quarter by approximately $2 million, so we expect these overlap cost to be immaterial by Q1 of next year. These three incremental investments were the primary contributors to the variance between our third quarter guidance and reported GAAP net loss of $25.9 million, and adjusted EBITDA loss of $6.3 million. From a balance sheet perspective, we ended the third quarter with $205 million of cash and equivalents. Deferred revenue reached a record $73 million and increased 33% on a trailing 12-month average. With third quarter results as a backdrop of momentum and our decision to invest from a position of strength, we're raising 2019 revenue guidance to a range of $289.5 million to $292.5 million and anticipate continued acceleration in the fourth quarter, implying an exit revenue growth rate between 17% and 22% year-to-year. Taking into account the aforementioned third quarter incremental investments of approximately $6 million and carrying forward the full impact of technical delivery and customer success resources into the fourth quarter, we anticipate a full year adjusted EBITDA loss of $14.8 million to $11.8 million. And fourth quarter adjusted EBITDA between $0 million and a positive $3 million. You can refer to our earnings release for additional details on our fourth quarter and full year 2019 assumptions. Now, let me wrap up with a few final remarks. First, we entered 2019 with the right strategy at the right time. Scaling sales capacity and increasing product velocity underpin our growth acceleration plan and we're executing with precision on both fronts. Second, we're bringing an even sharper focus on effectively on boarding and ramping customers and employees, which should magnify paybacks on our sales and product divestments. And third, we believe we can disproportionately win share in conversational commerce. The creation of any new market category is highly dynamic making it imperative that we remain agile in our investment decision-making, while maintaining strong cost controls and continued investment rigor. We're operating to that principle daily. With that, we'll hand the call back to the operator to take your questions. Operator?
Operator: Thank you [Operator Instructions]. Your first question comes from the line of Ryan Macdonald with Needham.
Ryan Macdonald: I guess, just digging into the increased levels of investment in the quarter. I guess, as we look at sort of the cadence of customer summits and sort of the large increase we saw in third quarter. What sort of visibility do you have in this sort of the schedule and cadence of that as we look into the end of the year and perhaps into the early parts of fiscal '20. Just to get a better sense of what maybe levels of spend will be like going into next year? Thanks.
Robert LoCascio: As you'd imagine, we have good visibility into the locations. There is a great deal of planning that goes into the process. But the enlistment or the sign up of customers can be fluid. And with the success that we've had and the campaigns that we're running that wrap around these large summits, we saw very high interest in the quarter for not only those large scale summits that we held in San Francisco and London and Singapore. But as I mentioned in the prepared remarks, we held 20 overall, which is double we had last year. And those can be more micro events that we take LivePerson to a customer, or we do something in between the level of one of those micro events in a large scale. So good visibility to where the fluidity is, how much sign up we get, and what's been I think powerful about those summits. They've evolved from creating awareness and creating new pipe to now we've top put this in our prepared remarks, it's much about creating new opportunities, but then great progression tools. A good indicator of that was a distribution of $3 million of order forms and two contracts that actually closed on the back of our events. So pretty good visibility to wrap up, but we've seen really high interest and that drove the expansion of costs in the quarter.
Ryan Macdonald: And then just a quick follow-up. In terms of the metric you gave about a 38% increase in average deal sizes, can you quantify or talk about sort of what's driving that more whether it's customers actually setting up for more interactions or more channels that they're adopting at the initial point of sale? Thank you.
Robert LoCascio: A combination of both, and it was also this quarter driven by both new customers, existing customers, and partner-led sales. So, it was really pretty broad-based across the sales that we saw this quarter.
Operator: Your next question comes from the line of Peter Levine with Evercore.
Peter Levine: So with the incremental $6 million this quarter, I mean is that in addition to the $10 million you called out in 2Q, and how should we think about investments going into Q4 and perhaps maybe into calendar '20?
Robert LoCascio: So kind of just tracing back, the marketing events were incremental to what we had talked about last quarter. What we didn't have in frame last quarter was the addition of technical resources and the shift we were going to make to bring in-house customer management and renewals in the mid-market. So, we certainly pulled some spend into the third quarter that was planned, but the technical delivery resources and the customer management resources were net new. And you see that then flowing through into the fourth quarter. I think on a macro basis though, if we kind of really zoom out for the investments that we've made this year, we're thinking about them as being in two buckets. First, we wanted to make sure that we put capacity in the system to develop the products that we wanted to bring the market and to be able to execute on the pipeline that we had from a go-to-market perspective. So check the box, I think we've done a really good job. We're now up to 95 quota carriers. The second bucket that I characterize this third quarter and fourth quarter investment now flowing into is, how do you service that demand? And we've received very clear feedback in our Net Promoter Score surveys and we're fortunate to have great customers that take the time to complete them. What they're asking for is depth in industry and depth in our technology platforms. And they're willing to pay for it. So we're reacting to that. And then on this mid-market and small business side, we talked about wanting to bring that business back to growth and it began to return to growth last quarter, accelerated this quarter, it's being driven by really outstanding contract bookings. Now we want to marry that execution up with great contract management and customer service. And we think the best way to do that is to do it ourselves.
Peter Levine: Okay. And I think one of the objectives here is to kind of lower the number of concurrent deals, I think reps carry. So I think for you, I mean you call that I believe it was like high to mid teens, where I think the industry average is like 4% to 5%. But where are we today in terms of how many deals reps are carrying? Where do you want to end the year? And kind of, if you think about the building of these pipelines mean, do you have confidence that the investments you're making today that your service org can kind of support these deals going into calendar ' 20?
Robert LoCascio: We definitely do. If you look at where reps -- what reps are carrying today, when we talked last, it was around 15% for new logo hunters each and around 8% for partners. I think we've made a dent in that. But what we're getting better at now as a company, and kudos to our sales leaders. We're starting to get smarter on when we pick up the deal. When that deal gets handed off between the SDR and account rep or the CP, so that we're chasing deals when they reach the right stage of maturity. I think we'd be bit chasing our tail, if we kept trying to keep up with how fast our pipelines are growing with having to continuing to throw bodies at it. So we're trying to get better now and smarter now and handing them off when they're at the right stage of progression and be more efficient that way. We're looking at every single sales rep, every single client partner, every single SDR in the company, their time to first deal, trying to get really smart on what we can do to make them be more successful and ramp quicker.
Operator: Your next question comes from the line of Koji Ikeda with Oppenheimer.
Koji Ikeda: Thanks for taking my question guys, and congrats on a nice quarter. I wanted to touch upon the deal metrics. Some of the best we've seen in a while. And the trailing 12-month ARPU increased again. So congratulations there. But billings, even coming on a tough comp, it was single-digits and even looking on a trailing 12-month billings perspective it decelerated. So could you help us bridge the gap between that really good deal commentary and then the deferred revenue and billings built. Thank you.
Robert LoCascio: So we've talked about repeatedly on past calls that internally billings is not a metric that we use to guide our business, it's not a metric that we talk to externally as a view. On a quarter-by-quarter basis, the timing of invoicing, the maturity of customer terms, meaning they extend their terms or their terms narrow can affect that. We do look at deferred revenue obviously and deferred revenue on a trailing 12-month average is up 33%, year-over-year. So again seeing good overall growth there. But again we're just not managing business on the quarter-by-quarter basis and we don't think that metric is something that's relevant to how we're delivering our growth.
Chris Greiner: Koji, it's Chris. And let's kind of go back into the metrics that you talked about and what gives us the confidence in the visibility that we can continue to accelerate, not just in the fourth quarter but as we said, at least 20% in all of 2020. So as you point out, right, we've now strung together really two bang out quarters of signings. Last quarter was an all-time high, this quarter was second only to that, and it was a pretty impressive quarter in terms of deal counts, new logos up, existing customers up, bigger deals, as you said, the ARPU is climbing, revenue retention was right in the range that we wanted to be between 105% and 115%. But I think when Matt and I look at it in detail, we then start to look at, OK, are you layering revenue quarter-to-quarter. And I think there is some really interesting metrics to us, since obviously second straight quarter of 6% sequential growth. And when you dig one layer beneath that, and you look at the hosting of the software revenue that grew 4% sequentially last quarter and accelerated to 8% this quarter. So, we're confident we have the visibility to continue with our accelerating growth trajectory.
Koji Ikeda: Thanks for that Chris and Matt. And then just a quick follow-up here on the increased spend profile for the fourth quarter. I guess what we're wondering out there is the opportunity looks really, really good. And is there a potential even in the fourth quarter for more pull forward of spend or increasing the spending environment of that overall end market demand still remains really, really hard out there. And then back at the Analyst Day, I know you gave 2020 EBITDA guidance of 7% to 10% margin. I mean, what's the right way to think about that? Any sort of help there would be really helpful. Thank you.
Chris Greiner: The answer is no. That I don't see us pulling more spend from 2020 into the fourth quarter. And let's kind of go back to in earlier statements we've made. We're really trying to strike a balance of creating a new market, being dynamic and agile and how we invest, but at the same time keeping the right spending controls and investment rigor in place. We think we're doing that well, but at the same time, we've added a lot of capacity in the last 12 months, and there is a point where you kind of move off the dinner table and you just digest a little bit and you assess what you have and you look at the productivity that those resources we're able to drive and I think we're at that point right now. Obviously 2020 is not that far off, but we're at that point as a management team and as a Board evaluating what we've done watching them and trying to enable them to be productive that informs us on how to best go forward with 2020.
Operator: Your next question comes from the line of Jeff Van Rhee with Craig-Hallum.
Jeff Van Rhee: So a number of questions from me, maybe one on the lines of the prior question, just with respect to sales and sales capacity, obviously, made great progress in these first three quarters. Just an update on where you think, it sounded like you're going to maybe take a pause in Q4 and think about how does this lines-up for '20. But just any updates on where you think we'll end this year? And then, Chris, maybe just spend a minute on the hard and fast math around will be CAC or LTV-related ratios or other ways, if you look at to give a go-no-go decision on incremental sales heads, maybe in '20?
Robert LoCascio: I think we'll land right around the 100, Jeff. So we're at 95 quota carriers at the end of where we ended the third quarter. I think will be within two on either side of that, right. So I think it's a pretty tight range. And I think as you point out, as we've said, we want to now look at that capacity. We're now measuring on a sales rep basis how long they've been here. We're now looking at the effectiveness of our enablement programs. They're tie into their first deal. How their pipeline is progressing through the system. Those are the metrics right now that we're looking at to be able to evaluate what is their future productivity going to be and are there scenarios where we need to hire ahead of where we don't think someone is going to make it. So we're trying to be balanced in that way. We haven't talked externally about tax in LTVs, it's something that we're doing internally now, something we certainly want to step up and do more of. So I can't comment it on externally, but the metric that we're looking at most right now for the productivity of the sales force is how each rep is working through their funnel with the type of granularity all the way down to how many meetings are setting up and the help that they need to get deals done in surrounding them with the right expertise to be able to close deals quickly.
Jeff Van Rhee: And then on the CapEx, if I have a right, I think you had guided 42, was it 32 prior and if it was, what was the incremental decision increase there?
Robert LoCascio: Yes, that's correct, Jeff. There is two pieces to it. On the P&E side, where we're making an investment in more servers tied to production. We have customers that are driving very high volumes and we're catching up to that from a capacity standpoint, obviously also with the headcount, that's come on, there's a little bit more on the facility side that we're spending. The other component is the capitalized software that is a little bit higher than we had guided to quarter ago with all the new products coming out and what we're delivering to the market and what we have in our pipeline. There's a little bit more what is being capitalized there.
Jeff Van Rhee: Competitively, you commented on the leadership position and certainly bears out I think in our field work from what we've heard. But I'm curious, if you could talk about bake-offs what that looks like, who is ultimately there and at least considered relevant by your customer base?
Robert LoCascio: I mean we're still obviously we're attacking the voice providers. So those are the companies that their legacy companies they've been saying in the last couple of quarters that they have messaging and we know messaging is just a delivery mechanism. It's all the AI behind it and everything, but they don't even have that type. They're taking their Chat platforms and sort of trying to make them something that is not messaging, but that's what we see today still, there is really not a change or shift in the competitive set.
Jeff Van Rhee: And then on the Apple Suggest. I mean, I think you commented about the impact there. I'm curious, to the extent you think the cross-carrier the connect initiative that some of the major carriers came out with on the Google RCS side, just any thoughts there.
Robert LoCascio: I mean, we are directly wired into the Google infrastructure right now. So the Google guest cloud, which is the RCS sort of overlay. And then we are connecting directly into all of the carriers where they're not connected. This is for Android devices, which is about Top 3 billion Android devices. So, I mean it's sort of at the beginning. We have to see how it shakes out. But where we've been working with the carriers because there are customers and wiring in and then also we're wired in the Google. And we are already in the UK, where they launched. And then in the US, we launched a year ago with their first brand on there, which is a big financial services company.
Operator: Your next question comes from the line of Zach Cummins with B Riley.
Sarkis Sherbetchyan: This is Sarkis in for Zach. Thanks for taking my question here. Can you discuss your recent strategic partnership announcement with TTEC? Is there much in terms of maybe customer overlap and what do you view as the total addressable market with that customer base? Thank you.
Robert LoCascio: We are very excited about this partnership. I've known Ken, their CEO for almost 20 years, and they've made a big shift, obviously getting into doing technology and strategic technology and digital consulting for contact centers. And so now it's really an opportunity for us to work together to deliver on the conversational commerce promise, and so we're very excited about it. We're working on deals right now. So we feel like it could be a really great partner for us and we're very focused on it. So, it's good. I don't know, we have internal numbers and we haven't put those out yet, somewhere we'll probably talk about it a little bit more as we get some momentum because we just announced it, but you know that one of the largest providers of technology in the contact centers, obviously, they run large contact centers. We have a lot of overlap with our enterprise customers because they are pretty much in every enterprise in the world in some capacity. So this is really an opportunity to work closely with them on implementing our platform. And also looking at the gain share where we have all the gain share business that we do which in previous call pay for performance. There is also an opportunity to have them service that gain share and then transform live messaging agents into bot builders and automation engineers. And that's really I think the transformation we can do with a partner like that. So we're quite excited.
Operator: Your next question comes from the line of Raimo Lenschow with Barclays.
Mohit Gogia: It's Mohit on for Raimo. Thanks for taking my question. I'll offer my congrats on a solid quarter again. So Chris, a question for you. In terms of -- so in Q3 or rather in Q2, you discussed you had laid out some incremental lead investments. And I was wondering if you can give us an update there, how those are sort of like driving an ROI? And also I was curious, so you mentioned 12-month to 18-month product relieve, and I am assuming the competitors are trying to catch up and the market is obviously getting a lot of production. So to maintain that lead, how do you think about product investments in the next year? So if you can unpack that for us it'd be great.
Robert LoCascio: So I'll take the second part, which is the competitive advantage. There is two parts to the platform that are really important. The core is the automation, the AI engine, which we call Maven, which enables these conversations to get automated consumer facing or we help the agent to be more efficient by automating what the agents doing in the console. So that we continue to provide more and more technology. We just provided some technology around, how do you look at it an intent and how do you process that intent. How do you get smarter on how you answer question to the intent. So there is a lot of technology goes into that. And as I talked about on my prepared remarks, our mode is really the data that we have. And the Data Sciences engineering teams are able to take that data and do many things with that that gives them a massive competitive advantage on the AI and automation side because we have hundreds of millions of these digital transcripts. The second part is, we are pretty much almost finished with all the endpoints that we have 13 now endpoints that a consumer can come through whether about social all the messaging endpoints, in-app, web, in the IVR, where we provided now a bunch of those in this quarter. So that gives us our reach. And so when we look at our flywheel to reach, it's the amount of use cases we can do to that reach sales, service and marketing. As we mentioned, again on this call, we now can do outbound campaigning. So it's not all about inbound, we do like outbound marketing campaigns and targeting on the platform. And then the quality of those conversations automation versus human and that's our drives our flywheel. So I think that just gives us a massive advantage in the markets, because we also have many scaled customers now after being about 2.5 years out in the market or so. We take so much of the platform. So we are years ahead when we launched and then we continue to be ahead in what we're doing. So I feel really good and we dropped a lot of product in the last two months. So we're pretty excited about on that side. And the first part of the question...
Chris Greiner: You were asking about the return on the R&D investments was it something else?
Mohit Gogia: In Q2, you discussed some incremental R&D investments. So I'm just wondering how those are, if comes an update there and how those are trending?
Robert LoCascio: The trending margins, it's basically correlated to what I just said, we dropped tremendous about of product into the market in this quarter. So we're very excited about the investments we're making and the speed in which the products are coming out on to the platform. And obviously we have a future road map coming. So there is -- so we feel good right now about our level of investment and the return that investment is going to make. And that will just drive ARPU. I mean, ultimately when you see ARPU numbers go up lot of has to do with like what are the other things that they're using. We know, as I mentioned also in the prepared remarks, if customer starts with automation, it could be double ARPU, the size of the ARPU versus someone is doing live interactions. So these are all things that the Apple Chat Suggest stuff and preparing for that, that could drive a tremendous amount of volume that will drive ARPU. So this is all the things that are driving. So we feel good about the investment right now.
Mohit Gogia: And if I can ask just a follow-up. I know you may not be ready to talk about like the next year sort like leverage and margins. But high level if I think about the pre OpEx items like S&M, G&A and R&D. Which of those areas you think will be more profitable to see any leverage next year? I'm assuming you still want to sort of like keep your competitive lead in product, so sort of like we will see healthy growth in expenses there. Quota carrier capacity I think you disclosed how you're thinking about that from a LTV to CAD basis and other KPIs. But just any high-level view on which of those three years we might see some leverage next year will be great. Thanks guys.
Robert LoCascio: Look, we did a tremendous amount of investment this year to put capacity into the system and that has to do on the product side, and then it has to do on the quota-carrying website and then the support and field organizations that support our customers. So I think right now we need to see how those investments start to ramp. The trainings with our reps, all the products we've built, we've got to bring them to market sell them. And so I think as a leadership team we're looking at, why don't we just look at how things go now. So I would expect to see some leverage with G&A, I definitely think we're going to see leverage there. But in the other areas we're looking at. But right now we're just really looking at all that capacity. We sort of say front loaded but we loaded it this year and we want to see the knock on effect into next year. So personally I'd like to see how that comes through before we keep adding more and more Apple's down on it, so that's kind of where we are.
Chris Greiner: I think it's worth emphasizing. When we look at all of our quota carriers right now, the 95 that we have and as absolutely thrilled as we are with how this year's signings are playing out. It's being done with the partial team, barely a partial team. So next year when you look at the charts that we're looking at when people have been hired where they are in their ramping, the full complement of the sales force will now be contributing in 2020, that's exciting to us and we want to see that translate.
Operator: Your next question comes from the line of Samad Samana from Jefferies.
Mason Marion: This is Mason on for Samad. As you talked about ARPU was up nicely, but they continued to decelerate as continue to signing larger deals and on board then. Should we expect the ARPU deceleration and continue at the same rate as we think about 2020?
Robert LoCascio: I think there's probably with the volume of deals picking up and with mid-market and SMB really starting to accelerate as they have that will bring pressure on the ARPU. So if that's a bigger force then the momentum we have an enterprise in the type of deals, they're signing that will bring downward pressure to it, but it's kind of an amount of time thinking about it.
Chris Greiner: I agree if ARPU is coming down, it should only be happening if deal counts are going up, because we're signing more new business and more mid-market and small business which come in at lower than the traditional enterprise ARPU. So hopefully that's a positive trend for us. The combination of unit volumes and ARPU should still drive the overall growth measure.
Operator: Your next question comes from the line of Brett Knoblauch with Berenberg Capital.
Brett Knoblauch: First one maybe, if you just look at your top five largest customers, what percent would you say you're penetrated in these accounts?
Robert LoCascio: If I look at all the use cases sales, service marketing and all the potential endpoints, it's somewhere between 3% and 7% of what we think we can get out of our customer on the messaging side.
Brett Knoblauch: And then maybe as you're thinking about proactive and reactive interactions. Is there a mix do you see that falling to and maybe are there just different pricing points between a proactive or like a reactive message or interaction?
Robert LoCascio: I mean, it's we know the proactive gets us into those sales and marketing budgets. So they tend to be a lot bigger than the potential of the care budgets which are potentially inbound. So I expect on a unit basis that the revenue we would make per unit would be higher. And also the volume would be far greater at some scale. Today our entry point still is, each heading into care and then fanning out. The other thing is that the proactive capabilities also intelligence even for care to go back out proactively and from a telco maybe we're having service issues in an area we can be proactive with a lot of intelligence back to a certain customer base. So there's a lot of technology we built, we called fast function as a service. Also you can actually do develop code within our platform and you can connect up your internal CRM, we already have CRM, but certain, but action on it. So you could trigger that there's network outage. Then on the platform it goes, it looks and dips into all the messaging clients that are in that area and then send out a proactive message. So that's all part of the capabilities now with the proactive capabilities we put in there. But the sales, marketing and retail also we see as much bigger opportunities than the care opportunities, but we're beach heading still in on care.
Brett Knoblauch: And then maybe just one more on gross margins a little bit of a downtick this quarter, I guess, is there any one particular thing driving that?
Robert LoCascio: The gross margins is really related to that's where those technical delivery experts are residing and what make some unique is, there the type of candidates that can toggle between R&D and delivery, but in their most recent utilization their more focus on scaling and making the implementations go very quickly, which obviously drives faster time for the customers to see value in the platform, which therefore drives more usage. So that's what's driving the margin trends right now.
Operator: Your next question comes from the line of Mark Schappel with Benchmark.
Mark Schappel: Most of my questions have been answered. So Rob, just a follow-up here are finished with product related question. With respect to the Chat Suggest product that you talked about, I believe you mentioned that there is crony for customers using the solution. And I was just wondering, if you just -- was it 40 or...
Robert LoCascio: Yes, what we said is that we've launched with 4 times more times more than any peer.
Chris Greiner: …is about 30 on it.
Mark Schappel: But just wondering if you just provide a couple of examples or specific examples of how customers are actually using the solution?
Robert LoCascio: So if you want to use us per se, if you do have -- let's say, a search on the web for LivePerson and you'll see a phone number on our Web site or you see a phone number on Google My Business or whatever it is. When you go to click on that phone number, previously it would pop up a little dialog box on the iPhone says call or cancel, right? Now it has message, call, cancel. So you hit message and then you'll be broad right into the Apple Business Chat, which is iMessage and then you're connecting with the brand. So the brands decide, okay, I'm going to enable certain phone numbers to be Chat -- to be deflected. And then they can also throttle the volume. So you can side, let's show is only to 1% of people who are making phone calls, or certain bots. So they can throttle it and that gives them control over it. But the statistics we have are pretty startling and exciting about like we're seeing how many people are clicking and then interacting. So I think it's the power of it is that, you know we've been very focused on getting rid of it, reflecting 800 calls from the IVR, but this it never goes to the IVR. Call never made it to the IVR made it straight into messaging and then we're using a bot to ask the question, like do you want to sales, what would you like to ask a question. So that's the way it's being used. I think it's quite powerful because it cuts off the call from getting into the IVR.
Operator: Your next question comes from the line of Steve Enders with KeyBanc.
Steve Enders: I just want to dig in a little bit more on the product side and some of the new initiatives that you're rolling out. Just wondering, as you go to customer and you're taking that if in a social initiatives and email initiatives and we don't see just came out with. What is driving the best interest for them and where do you see the biggest potential to drive growth in the next few years?
Robert LoCascio: So this really came from our customers, which is they have social groups, they've got the email groups, obviously they've got voice groups, messaging group's, chat groups. We've obviously consolidated the messaging and chat groups we've got, they get consolidated on our platform. The social care one actually we've had direct messaging that if you do a direct message with the brand, it would it came on LiveEngage and that's been out for a few quarters. But now what we can do is, in the public feeds where consumer just posts something into a news feed, we can track it, we can reply back and then we can take someone into a direct message. So we have the monitoring capabilities and then the ability to take that in. So what we see is that in the care organizations let's say they don't want to have that group on a separate platform. They want to bring that all into a conversational commerce platform. And then email we've never built an email system in our life. I never want one here at nor did we built one now. We tried to solve the problem of email, we know it's not a great way to communicate, but obviously a lot of emails are going back and forth between brands and consumers. So now we have a way to take that email we ingested into LiveEngage, we then turn it into a conversation that we can send back out. So the reply emails like click here and let's start on messaging conversation that's asynchronous around that email. And then a case is built, so we have the capabilities to keep that email track it, but you take it off of email now and it's once again sitting in that platform and we can then have a full view of a consumer. So now there I got them through Apple Business Chat. But they sent an email now I put them back on Apple Business Chat now I can be proactive with them. They went through social and they posted something on Facebook or Twitter, I'm having a problem with your product. Now I brought them through the messaging channels. So it gets them to have that single view of the consumer from the messaging perspective and then you can do the AI and all the proactive stuff and the reactive stuff.
Steve Enders: And that's really helpful. I guess just last one for me. Just wondering how you guys are seeing the current hiring environment and the ability to bring reps into LivePerson?
Robert LoCascio: So we feel good. I mean, we have a good story. If you're on the field side, you can make a fair amount of money, a lot of money, if you're quota carrying rep, because we have a unique product offering and a way to bring it to market. On the engineering side, we've got a great leadership team. We're global now, obviously a great job on globalizing operations. It's amazing is that we opened up an office in Seattle, seems about less than a year ago. And we're almost up to 200 engineers there. So that has been recruited and that's a tough environment. And so I think our story there too that we have this technology, we have this data set. That's very unique. I think people are excited to come here. So it's a tough environment, we were in a very good place and obviously the power of our company is based on the power of our people and how good they are. And so we've been very fortunate to recruit some great people. We've also recently recruited some very good field, senior, senior field people out of some of our call center competitors. And I think we've taken some of their big sales people out. And so they are coming here now to fight the battle. So, I think that's also been a good indicator of what we have to offer in the market.
Operator: Your next question comes from the line of Mike Latimore with Northland Capital.
Mike Latimore: Congrats on the deal growth here. Just two quick questions, one is, you've given a enterprise growth rates for North America in the past, wondered if you have that? And then second consumers really accelerated does that continue to accelerate or is that sort of level out there?
Robert LoCascio: Just hit on the reverse order. On the consumer business, obviously really excited about the five straight quarters of acceleration 37% is awesome. I think it's best to think about the model there, at least how we are right now in the high teens, low '20s? And then we'll see if we can exceed those expectations. In terms of the enterprise growth rate, I would just want to get into the habit, but the trajectory hasn't changed.
Operator: Your next question comes from the line of Jonathan Kees with Summit Insights Group.
Jonathan Kees: I'll start with -- and kudos for the quarter. I'll start with the follow-up question first. You guided for Q4 of top line of 17% to 22% and then for 2019 -- actually 2020 of at least 20%. I'm assuming you're still reaffirming your long-term revenue growth of 20% -- excuse me, 25%. And it sounds like there may not be that long-term from now given the growth rates here?
Robert LoCascio: Yes, the 2020 we're reaffirming and the longer-term model we're also reaffirming.
Jonathan Kees: And then in terms of -- I guess more of a deeper question here. You talked about the particular verticals especially financial services. We had like 30% plus growth for the quarter. Just curious why our financial services drop in terms of the percentage of revenue contribution for the quarter, even if it was, especially if it was one of the fastest growing for the quarter?
Robert LoCascio: I guess 22% of revenue in the first quarter, 24% in the second quarter, 21% in the third. I don't think there's anything really to it. In fact, it was we've got a great pipeline of financial services, a good success there and growth is over 30%. So I'm not sure there's anything at least we're not on our radar anyway.
Operator: Thank you, ladies and gentlemen. I would now like to turn the call back over to Rob LoCascio for closing remarks.
Robert LoCascio: Thank you, operator. So, I'll end the call just reemphasizing a few key points. We entered 2019 with stated guidance that we would accelerate revenue growth and we are delivering on that goal with two consecutive quarters of acceleration. We're now introducing meaningfully new product catalysts that will enhance our competitive position and raise awareness of messaging and expose our platform to millions of conversations we previously couldn't touch. More importantly, we are exiting 2019 what we believe is the definitive AI platform for conversational commerce. We believe that automation will be the future business. And our goal is to be the world's leading conversational AI company. Now we have a tremendous opportunity in front of us and we're going to keep focusing on execution, return on investment in order to accelerate the momentum and capture the full demand of this dynamic market. And with that, we will see you in Q1. And as I say on this quarter, November 26th, we do this program since 9/11 called feeding NYC where we feed like over 4,000 families in New York. And if you get an opportunity we've all had a good year. The company is doing great stocks up and all that, but giving back to the communities we serve is important and we've been doing it since 9/11, we spent over 75,000 families in the city, in the shelters. And it's a great thing. So if you're in New York, or you want to come to New York with your families on November 26, we pack Turkey's and take them out and we deliver on door-to-door to all these families who won't have normally a Thanksgiving meal. And if you can donate, if you want to take some of your gains this year and put them back into feedingnyc.org, go there, make a donation. We want to feed tens of thousands of families next year. And we've got big goals, not only about the company, but serving our community. So if you can do that, I'd really appreciate it. And with that enjoy.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you greatly for your participation. You may now disconnect.